Operator: Good morning. My name is Jessa and I will be your conference operator today. At this time, I would like to welcome everyone to the Itau Corpbanca Fourth Quarter 2018 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Ms. Claudia Labbe, Head of Investor Relations. You may begin your conference.
Claudia Labbe: Thank you. Good morning. Thank you for joining our conference call for our fourth quarter 2018 financial results. I would like to remind you that our remarks may include forward-looking information and our actual results could differ materially from what is discussed in this presentation. I would also like to draw your attention to the financial information included in this management, discussion and analysis presentation, which is based in our managerial model that we adjust for non-recurring events for the amortization of intangibles arising from business combination and for the tax effects of the hedge of our investment in Colombia. At the same time, we adjust the managerial income statement with additional reclassifications of P&L lines in order to provide a better understanding of our performance. Please refer to Pages 9 and 10 of our report for further details. Now Mr. Moura will continue with the presentation.
Gabriel Moura: [Audio Dip] joining us for this fourth quarter and full year 2018 conference call. Today, we will be going through the highlights of our results for the quarter; then we will review in more detail how we have performed in the year 2018; and lastly, we will be sharing our perspectives for 2019. So let’s start by moving to Slide 3, where we show the highlights of our performance in the quarter. After an excellent third quarter, which came a little bit above our expectations, we saw more normalized fourth quarter affected by some particular events. We ended the quarter with an 8.9% consolidated managerial return on tangible equity or 9.4% when we look at our operation in Chile. We have seen further rebound in our portfolio growth rates with controlled delinquency. When we look at revenues, we saw improving trends in terms of interest margins, translating in the evolution we have seen in business volumes as well. On the other hand, the quarter was affected by a higher cost of credit influenced by one-time model adjustment and by higher operating expenses. Our last quarter of the year usually concentrates some of our yearly costs, and although up in the quarter expenses were virtually in line with what we incurred in the last quarter of the previous year. Overall, adjusting for the one-time impacting provisions, results have been basically in line with what we have in the previous quarter. Now moving forward, let’s talk about the full year of 2018. Going to Page 5 we can see the same highlights, but now looking at full year results. We ended 2018 with CLP 209.6 billion in consolidated recurring net income, the strongest result since the merger hosting a 200.1% increase when compared to the previous year based on a stronger loan growth with lower delinquency, the highest net interest income in fee revenues and the lowest cost of credit since the merger, with operating expenses virtually flat when compared to 2017, a solid improvement and an important step towards the construction of our competitive and sustainable results. Now moving forward, let’s move – let’s look into the performance in more detail. On Page 6, we can see how the macroeconomic indicators evolved in 2018 and how do they compare with the expectations we have set when we started the year. In Chile, we have seen an important rebound in economic activity. This rebound came even stronger than we initially anticipated, with GDP growing an estimate of 4% in the year. This expense came together with an important recovery in the loan market, especially in commercial loans and the overall portfolio ended the year with a 10.2% growth taking above higher end of our initial expectations. This was an important factor for our stronger performance in the year. Another tailwind for our results, particularly when compared to the previous two years was lower real interest rates, which positively affected our banking book positions in Chile. As far Colombia, economic growth also came a little above our expectations. We have positive surprise in construction in durable goods sectors. This did a managerial return late in our rebounding loan growth that we expected as the consumption of high existing stuff hindered a strongest pension of gross investments. Moving to Page 7, we can see how we share in this scenario compared to the main performance metrics and objectives we have shared at the beginning with – of the year with you. Overall, we came in line or better in every metric but long growth in Chile, which ended a little bit below the low-end of our expectation. We kept that good pace on the evolution of our retail business in the country as we will see more retail further ahead. And cost of credit presented an important converges to the levels we see as more natural to our business. Because of our continuous focus on managing and looking for opportunities on improving our efficiency, adjusted non-interest expenses, which exclude depreciation amortization, expanded only 2.2% in the year, below the CPI and much lower than the industry average as we will see ahead. In Colombia, despite of the weaker conditions that we expected in the loan market, we delivered results above our breakeven target for the year on the back of strong cost control and lower loan losses. Moving to Slide 8, we show that we ended 2018 with an 11% return on tangible equity or 13.3% for operation in Chile on a standalone basis. This is an important mark in the gradual convergence to a sustainable level of reserves that is more in line with our peers and the value creation we want to achieve for our shareholders. On the next few slides we will comment on the performance of each of the lines we forecasted for the year. So on Slide 9, we see that our portfolio in Chile grew 5.5% in the year, is slightly below the lower end of our expectations, as I mentioned earlier. This is the result of different dynamics on the business level. We continue to see a good performance throughout the year on our retail portfolio, particularly on consumer credits. This trend that began on the second quarter 2017 has been consistent ever since and is a key indicator of our desire for a more balanced credit portfolio. When looking at our commercial loans portfolio, which still was a drag on overall growth in 2018, we can see a stronger performance at the margin. This came as we’ve virtually conclude our reduction in non-core exposures on price of positions, which we determined back in 2016 will be misaligned with the risk appetites that we have set for this bank. This effort amounted to CLP 1.5 trillion or about $2.3 billion, both actively or through sales or passively through natural run-off manners in the last few years. Now that we have that behind us, we can expect to converge our growth to our market base. Now moving to Slide 10, we see how our portfolio mix shifts under these dynamics. Because of stronger growth in our consumer portfolio, our mix keeps gradually moving towards a greater balance between wholesale and retail. Despite this being reinforced by the adjustments that we did in the wholesale loan core portfolio, retail expansion has been summed. 2018 [Audio Dip] higher than what we started the year and 33 basis points compared to what we had on Legal Day One. Although we have a very competitive retail market here in Chile, we have a strong focus on expanding our position through discipline execution of our strategy in the segment. On Slide 11 we can see our main credit indicators. An important part of our improvement in results comes from reaching our expected convergence of cost of credit to a more normalized level of 0.8% of average loans after two years of important adjustments in our provisions. Total cost of credit amounted to CPL 133 billion, 44% lower than 2017 while improving converge indicators and delinquency levels on the portfolio. Although our portfolio, we still have an important concentration wholesale loans that led us to have a more noticeable exporter to credit events in our peers, I believe that the year of 2018 marks an important step forward and confirms that major individual exposure adjustments have been made. On Slide 12 we present non-interest expense evolution. Here as reviewed in previous calls, we adjust our baseline by excluding expenses consolidated from our Colombian operations. Provision expenses related to credit risk and non-recurring expense expenses, in line with the reclassification that we do on the MD&A report. Lastly, we removed the precision and amortization as these are more related to long-term income generation. We then applied this same methodology to the financial system as a whole. For the third year since the merger, we consistently present a satisfactory level of expenses. Our adjusted expenses grew 2.2% in the year below the 2.6% CPI in almost 6 percentage points below the overall industry in Chile. The important message here, I think is that cost discipline and the search for efficiency opportunities is a part of our DNA that we are creating for this bank. Going into Slide 13, we can assess how this will translate into the estimated synergies captured throughout the past three years. By comparing our total how our expenses actually grew, which we can see on the top of the chart. To what they would have grown at an average market rates, we can measure the GAAP and estimate the synergies captured. On this basis, we calculated a total of CPL 49 billion of synergies for the first three years since the merger or about $76 million. This puts us closer to the lower end of our guidance that we gave on the first conference call after the merger back in 2016, where we have pointed to the expected range of accumulated synergies after the first three years would be between $88 million and $107 million. We believe that it’s still room for pursuing the intended synergies on the next couple of years. Moving to Slide 14. We present the evolution of our results for operation in Columbia. In 2018, we achieved the important turnaround point for the year. Despite the still challenging environment that we have faced. This turnaround was the result of three main factors. First, the normalization of our interest margins as we incorporated the effects of the normalization of market risks in our banking book. Second, the convergence of credit costs for more normalized level, seems to what – I like to what we have here in Chile. And third, a strong discipline on cost management and efficiency as this is part of the culture that we are establishing for the bank. Overall, I believe that despite the for a long, just low economic cycle in Columbia, the bank is back on track to construct in a gradual increase in sustainable results that is more in line with the overall market. Moving to Slide 15. I’d like to highlight some of the things that we have delivered and implemented throughout 2018, on still building blocks for digitalization. The first is the focus on client satisfaction. This past year we have implemented Itau Unibanco’s management model for retail banking. This leverage is our platforms with successful trail incessant control in sentences and tools for delivering fast connection between business decisions to sales projections. We also instrumentalized our relationship managers with tools and cockpits that allow them to better focus their daily agendas on better servicing our clients. This is all part of the development and reinforcement of the client centric culture we view as a key part of the DNA of this bank. The second strategic pillar is people. One of the main achievements on this front in 2018, was the full implementation of Itau’s meritocracy model throughout the organization. This is an important part of our way of doing things that allow us to correctly reward and incentivize people’s actions aligned with our ambition and great values to clients and shareholders. We also enhanced our talent attraction in development programs in flexible life dress code for our employees to provide a better in modern work environment. Finally, we are advancing with discipline and focus in our plane to digital transformation in the bank. This translates in more than 150 new releases and functionalities in line – in our online channels and the digitalization of conflict process change, from the back office to the front end with our clients. Now moving forward, let’s talk about our perspectives and main goals for 2019. On Slide 17 we’ll talk about our economic expectations for the year. For the Chilean market, we expected 3.2 GDP expansion, with loan market growing between 8% and 10%. Inflation should stabilize this year at about 2.7%, and interest rates should increase, an additional 50 basis points from today and close the year at 3.5%. Similarly in Columbia, we are expecting a more positive year, we are 3.3% GDP growth. We also expect a loan book expansion between 8% and 10%, inflation rising slightly to 3.4% and interest rates moving up to 4.75%. Moving to Slide 18, we present our perspectives for the bank in 2019. We expect our credit portfolio to grow between 8% and 10%, while maintaining a strong growth in retail portfolio and further increasing its participation in the loan mix. Our cost of credit should remain in the range of 0.7% and 0.8% that we view is a more normalized level for this bank. We expect to maintain on our adjusted noninterest expense growing line with inflation, which is an important challenge we set for ourselves in a market – in a market that generally grows much more above this rates. And finally, we expect our results from Columbia to continue on track. We are sustainable recovery of our profitability. Moving to Slide 19, I would kindly ask Manuel to talk about the key strategic points for our agenda in 2019
Manuel Olivares: Thank you. Gabriel. Good morning everyone. I haven’t had the chance of meeting every one of you personally. As you probably know, I took over the CEO position back in January 2. And actually we have been working with my team and updating our expertise drivers for 2019 to 2021. I can point out that, our main agenda will be based on growth, digital transformation, client-centricity, efficiency, capital remuneration and of course in Colombia there is an issue that we have to deal with. In terms of growth, as Gabriel mentioned before, we plan to expand our presence and client base in all business segments that mainly in the retail banking sector, because there we have a – gap that we have the close off with our competitors here in Chile. And further increase of transactionality and relationship with our client base. That as a message, I can tell you that we have to grow in each business segment of the bank. In terms of the digital transformation, as you mentioned in Itau Unibanco we have a huge culture of innovation and transformation that we have to put also in place here in Chile. With that we have to get efficiency and improvement of user experience. This is something that we have to deal with because we have in 2018, we’d have some problems that we’re fixing them and we want to have a seamless integration from back office to front office. In terms of not just having the applications in a more response, but also working on the processes behind all of that. In terms of client-centricity all banks I mentioned that, we have – we’re analyzing a new segmentation model with well defined identity and value proposition. Of course, that we didn’t have value proposition for each of the segment. However, with our teams, we are reevaluating and updating that proposition. In terms of efficiency, Gabriel, also mentioned that we’re looking forward to grow just with the CPI. We’re putting a lot of pressure on continuously increasing the efficiency of our operations here in Chile and as well in Columbia and drill down all the full capital allocation model to prior level. And in terms of capital generation – this is also a challenge where Gabriel is going to mention on, something after I finish that we have to improve it with managing capital allocations to adequate couple of equity in each of segment as well. And as I mentioned, Columbia, we have been traveling to Columbia each three weeks. I’m planning to do so during the rest of the year, because this is an operation that is facing in a different environment with different challenges, but it’s facing the same challenge that we have in Chile, which is growth. Growth in our client base, growth and profitability and efficiency. So I’m looking forward to meeting you personally, shortly in the next conference. And Gabriel?
Gabriel Moura: Fantastic. Thank you so much, Manuel. If we can move to Slide 20, to give you an update on something that we did for you. Align with our full focus on shareholder satisfaction. We have recently launched this year on new Investor Relations website. The new site focused on providing information and tools investors and analysts need to make the most effective decisions. On the site, you will experience a better browsing and improvement in the visibility of its contents and optimize responsive design and we have gathered the best practices for major investments in Investor Relations website around the world. Also note that we have now made available email alerts in the new section such as stock board with interactive charts, feature presentations, and frequently asked questions. We aimed at this new tool will provide them with better quality information in smooth navigation at ir.itau.cl. To close our presentation and before opening to our Q&A session. I would like to comment on the material facts that we have published early this morning. As previously disclosed, in December 2016 Helm had initiated an arbitration process against Itau CorpBanca regarding the sale of its 19.44% participation on Itau CorpBanca Columbia. During the course of the proceedings, Helm demanded us to acquire its shares at a price that would have totaled approximately $850 million with interest. Yesterday or three member tribunal of the International Court of Arbitration in New York rejected the Helm’s demand in order to Helm to sell its shares of Itau CorpBanca Columbia at approximately $299 million with interest. Notwithstanding, that we are reviewing and analyzing the decision in its next steps we intend to purchase the shares from Helm. This price of $299 million implies a valuation multiple of 1.36 times book of value of Itau CorpBanca Columbia as of December 31, 2018. And is consistent with the valuations of Itau CorpBanca Columbia, in Itau Bankers consolidated financial statements. The acquisition when completed will result in an estimated impact of a 0.8 percentage points on Itau Bankers common equity Tier 1 capital ratio. On a fully loaded basis under Basel III standards. Using exchange rates as of February of 28, 2019. The purchase of shares of Itau CorpBanca Columbia by Itau Bankers will be subject to regulatory approvals in Colombia, Chile, and in Brazil. We have always believed that Helm’s claims was without merits. In acquiring the shares was not our initial expectations when discussing this matter. However, we are pleased that tribunal ordered rejects Helm’s attempt you will be seeing an impressive value for its shares. Moreover, this decision will cause the determination of the shareholder’s agreements with Helm. Enabling Itau Bankers to implement business decisions in strategies more efficient. In addition, it’ll allow us to move forward and better focus management time and resources and further developing our business in Colombia. We will keep you posted as we always had further news and developments on this matter. Given that the decision just came down last evening, we cannot comment further at this time. And now we close our presentation and we’ll be glad to ask if you have any questions.
Operator: Thank you. [Operator Instructions] Your first question comes from your line of Gabriel Nobrega from Citi. Please go ahead.
Gabriel Nobrega: Hi, everyone, and thank you for the opportunity to ask questions. I actually want to make a follow-up on this managerial fact, which you have recently issued. Could you maybe explain to us why are – the difference between what Helm actually wants and what the bank will have to pay are so different. And also have you already studied when and if you will make this payment. Thank you.
Gabriel Moura: Sure. Helm’s evaluation is based on their own evaluations with the subject that they had when they filed for the arbitration process. Our evaluation and the evaluation that it was used on this discussion is based on what we have in our financial statements that is consistent. We have evaluation for goodwill that we have for Colombia as well. But I cannot go in too much detail as per Helm’s evaluation. We expect to conclude this transaction after we review of all the regulatory proceedings of this approving, reviewing the results and also approving this with the regulators in Chile, Colombia and also in Brazil.
Gabriel Nobrega: All right, that’s very clear. And if you may allow me follow-up here. I see that you have already calculated what is going to be the impact to your common equity Tier 1 ratio. But have you also made any estimates with relation to your results?
Gabriel Moura: We don’t believe that this transaction has an impact on results. All the acquisitions are directing in fact in the shareholder’s equity. We have – did an estimate on acquisition evaluation so far for the results of this year given that we have to buy the shares and have 20% in Colombia. But we will keep you posted as we have more results on this.
Gabriel Nobrega: All right, that’s very clear. And if you allow me to make a second question, it’s actually regarding asset quality. During the quarter we thought that you’ve increased your provisions and you’ve said in your release that it’s mainly due to an adjustment of your retail model in Chile. Could you maybe give us more color on what happened here and why you had to make this adjustment?
Gabriel Moura: Every year we review our credit models in retail, especially, the model of concession of credit and provision of credit that we have for groups of clients in retail. And we have estimates for [indiscernible] that we applied for our provisions. So in this early process that we do this revision we are incorporating new information from the behavior of our clients since the merger. With that, we did an adjustment on the model that justify about 40% of the impact that we have in the – in this specific quarter. So I think it’s part of the normal course of the business that we have. So we are always fine tuning the models that we have and the missions of the credit. I don’t think it changes our expectations towards cost of credit in the future. I think it’s just makes sense to reevaluate our models as we have more information of the market in our client base.
Gabriel Nobrega: All right, that’s very clear. Thank you.
Gabriel Moura: Sure.
Operator: Your next question comes from the line of Jason Mollin from Scotiabank. Please go ahead.
Jason Mollin: Yes. Hi. Thank you. Yes, I wanted to follow-up on this, the NPL formation we saw in Chile, higher write-offs that we’ve been seeing. And specifically on this new retail credit model, what was the impact? You said 40%. Is that 40% of the increase? Can you quantify how many billions of Chilean pesos was related to the change in the model? And I guess that’s for the portfolio that exists. You’re suggesting that going forward you won’t make higher provisions for retail than you were making. Thank you.
Manuel Olivares: Hi, Jason. If you take dealt that we have from one quarter to the other one, around 40% of these dealt in provisions came from this changing estimate of the provision model that we did. Going forward, if you take a look at NPLs in Chile, they’ve been going down since last year. So that’s the reason that we always revisiting the models that we have, but I don’t think it’s a change in future cost of credit expectations we have. It’s not due to this change that we did. It’s not due to some specific regulations. As you know, in this year you have a change in regulation regarding provisions in Chile for SMEs. So these adjustments that we are talking about, we did for individuals, they’re not for SMEs. And we expect that further this year as we implemented this new regulation, we are going to have the impact for the part of the SMEs. But in terms of cost of credit on aggregated basis, I don’t think there is a material change in our expectations.
Jason Mollin: Great, thank you. Maybe a second question on the competitive environment. You’ve become in the last year obviously a larger player in the system. We have a competitor that is completing their merger. How have you seen the competitive environment and any impact on spreads in any specific products, whether it’s consumer, mortgage, corporate? Thank you.
Manuel Olivares: Sure. I think, Jason, when we take a look at the Chilean market as a whole, I think it was a market that was already well concentrated. So if you take a look at the five top banks, they already had a large chunk of the market. So, of course, further consolidation of the market always creates an impact. But if you think about market efficiency as a whole, I don’t think it’s a game changer in terms of the market more competitive or less competitive. The market in Chile has been competitive in the last few years. I don’t think that there is a change on that. In France, there’s always a discussion on when we do react to market prices. We do see some pressure on retail. I don’t think that they are different from what we’ve been doing. I don’t think that we lead on prices, meaning that we reduce prices in order to gain volumes. I think that we always respond to what the market is doing. And on the other hand, we need to be every time more efficient in terms of our operation, in terms of the cost that we have issuing credit and our ability to take a look at their models and increase our credit constitution policy. If you take a look at what happened to the bank and I think it’s a testament to the models that we have is, we were able to grow more than the market and decrease the NPLs that we have. And even if you adjust this by NPL creation, you saw that this growth that we had on consumer wasn’t affected at costs or more delinquency rates. So we’ve been growing more than the market with a controlled credit expense. Of course, the market reacted to this, it will always react to this, we have been seeing a more competitive market on the consumer reaction to the marketing, the growth that we had. Having said that, we were able in the last few months, to continue to gain market share.
Gabriel Moura: And just Jason, if you allow me – this is Manuel, allow to complementing what Gabriel was yet mentioning, this has always been a very competitive market. And this is why banks and ourselves are going to put a lot of pressure on efficiency and costs. And as I mentioned before as well in our value proposition because nowadays here in Chile and other markets around the world, the clients are looking for experiences, are looking for more freedom, mobility and many things. And this is why along our competitors are doing as well. We have to update our value proposition, create a client loyalty and compete in that environment that – what I’ll see in the future that the competition is going to be tough. The pressure on the spread is going to continue in every single segment of our client base.
Jason Mollin: Thank you, Manuel, and thank you, Gabriel.
Gabriel Moura: Sure, thank you.
Jason Mollin: You’re welcome.
Operator: [Operator Instructions] Your next question comes from the line if Sebastian Gallego from Credicorp Capital. Please go ahead.
Sebastian Gallego: Hi, good morning. Thanks for the presentation. I have three questions actually, maybe a follow-up on asset quality. Can you provide guidance on consolidated cost of credit for this year even when including the changes in methodology that you just mentioned? Second question is regarding profitability. When you take a look at the adjusted return on tangible equity, you looked at over the course of the last three quarters the trend has been down everything to quarter 2018 from 13.7. The trend has been downwards. Can you provide guidance on what are your expectations for profitability for 2019 on a consolidated basis? And my last question, I know you comment on the material fact, but I’m just curious to ask valuation of 1.4 times price to book value for the – of the Colombia operation, seems to be quite high for an operation that is still basically breakeven. What are your thoughts? Thank you.
Gabriel Moura: Thank you, Sebastian. Let me answer your first question about the guidance in cost of credit. The guidance that you see here on Page 18, which is between 0.7% and 0.8% already takes into consideration, the effects that we may have on the changing provisions models by this BIS. Of course then we’re going to have – on the midst of our portfolio, we’re going to have that impact on the SMEs. Our expectation is that that we might have good news in other parts of our portfolios, which are well provisioned and if things move along to our expectations we may have a benefit from that. So when we take a look at Chile, we’re going to see 0.7% between 0.8% even without the changes we expect. When we think about the consolidated and then I think that the U.S. is about consolidated, we don’t have any specific guidance for cost of credit in Colombia or in the consolidated. What we do see if we want to take the other side of the Colombia is our belief that the bank should continue to improve its profitability. So we saw a shift between 2017 and 2018. My expectation is that in 2019 we’re going to see a continuous improvement. I don’t want – I don’t think that it’s going to be leaps and bounds meaning that we are going to go – completely convergence in one year to the level that we think it’s appropriate. I think it’s going to be a lineal construction through time, but we do expect better returns. On our OT trend, you mentioned the last few quarters, I think it’s a very difficult to project this bank quarter-by-quarter. We have all of the volatilities of our more concentrated portfolio, we have all the volatility market risk because of the hedges that we have when our Colombian operation. We didn’t change our view in terms of what are the objectives for return on tangible equity for this market. We continue to believe that it’s possible for us to do our conversions to our return on tangible equity between 16% and 18%. Between three and five years down the road, I think, it’s very challenging, but it’s the challenge that we set forth for us. Quarter-by-quarter I don’t think this trend means anything regarding the profitability of the bank we continue to be very positive. In your question about revaluation, at the end of the day is it’s an arbitration decision. So it’s not up to us to discuss the value at this point is to take the decision and follow through with it. Having said that, as I mentioned revaluation, it is consistent to the numbers that we have in our financial statement and with the plans that we have for Colombia.
Sebastian Gallego: Okay, perfect. If I just may add a follow-up on maybe another question on capital, how do you feel about your position, your capita position even when including 0.8% impact if the transaction goes through?
Manuel Olivares: Perfect. As we have previously discussed with you, we have a journey in terms of capital of converging to the new standards for the new banking law here in Chile. Our estimates are that by 2024 we should achieve a minimum step one of 8% according to new regulations. Of course, many of the things are still to be decided by the CMS, the new regulatory body here for Chile. And we expect you to have positive impacts from risk weighted assets and credit with negative impact by the inclusion of market risk and operational risk that as off today do not impact capital positions here in Chile. As we mentioned before the path for this convergence of the position in capital that we are going to have after just the adjustment, according to our estimates, this 0.8% impact will bring our step one just something around 6.4%. So we need to a convergence from 6.4% to 8% in step one to achieve minimum regulatory. I think – from two value drivers that at the end of the day converge to our ability to generate core capital, which is the convergence of the profitability levels of the bank to the ones that I’ve discussed before, return on tangible equity between 16% and 18% down the road. And also our ability to retain profits, as the dividend payout should be around the regulatory minimums here for Chile. That’s the guidance that we have for the market, that’s still the expectations we have.
Sebastian Gallego: Perfect. Very clear. Thank you so much.
Manuel Olivares: Thank you very much.
Operator: There are no further questions at this time. Mr. Olivares, I turn the call back over to you for closing remarks.
Manuel Olivares: Yes, thank you everyone of you for being here this morning. And as I mentioned before, we’re looking forward to meeting you personally, and if you’re in Chile, please let us know, to receive you here in the bank. So thank you very much all for your attention this morning. Bye-bye.
Operator: This concludes today’s conference call. You may now disconnect.